Operator: Conference call is now being recorded. Good morning. Welcome to the Swisscom 2024 First Quarter Results. We will begin with a presentation followed by a Q&A session. [Operator Instructions] With that, I would like to hand over to Louis Schmid. Louis, the floor is yours.
Louis Schmid: Good morning, ladies and gentlemen and welcome to Swisscom's Q1 '24 results presentation. My name is Louis Schmid, Head of Investor Relations. And with me are our CEO, Christoph Aeschlimann; and Eugen Stermetz, our Chief Financial Officer. Our CEO starts the presentation with Chapter 1 and a quick overview on the highlights of operational and financial performances of the first quarter. Then in Chapter 2, Christoph presents a business update for Switzerland and Italy before he, in Chapter 3, gives a short update on the Vodafone Italia transaction. In the second part of today's results presentation, Eugen runs you through Chapter 4 with the first quarter financials, including the confirmation of our full year guidance. With that, I would like to hand over to Christoph to start his presentation. Christoph?
Christoph Aeschlimann: Thank you, Louis and welcome, everybody, to our Q1 2024 call. I will go directly to Slide number 4 with the highlights of Q1. So financially, we are satisfied with the Q1 results. They are as expected. Top line is slightly lower as Q1 last year. And with an EBITDA of CHF1.16 billion, ahead of consensus, I think it's a solid result in challenging market conditions. And we have also reiterated our full year guidance for 2024. If you look at the telecommunications business in Switzerland, it's operationally mixed. The revenues are -- continue to go down and we are compensating part of the revenue decline on the telco side by the IT or the growing IT business. We also managed to launch the new insurance tech offering for our B2C market segment in Switzerland and continue to build out FTTH footprint in Switzerland. On the contrary, Italy is performing very well with Fastweb growing across all KPIs, in revenues, number of customers and EBITDA, especially the wholesale and B2B segments growing very strongly again in Q1 this year. We have also launched a new proposition in Italy around energy for consumers which has a good start in April and we will see how this continues to develop over the year. The highlight for me of the first quarter was the acquisition of Vodafone Italia or the signing of the transaction on the 15th of March which will lead to substantial value creation for the Swisscom Group. And the closing is still expected in Q1 2025, as previously announced at the transaction signature. Now moving next, Slide number 5, you see the overview of the operational performance. So I will start for once on the right-hand side with Fastweb. You can see a very pleasing result. Mobile is still growing strongly. We had over 100,000 net adds which is slightly lower than the Q1 2023 but also the market has changed quite a lot. And we think it's a very solid or very positive, actually, results delivered by Fastweb, second best performer behind Iliad, bringing our mobile base to 3.6 million or plus 5% market share. On the broadband side, we continue to pursue our value strategy in Italy to keep our focus on ARPU and value creation. This led to a slight decline in the mobile -- in the broadband customer base of 19,000 which was largely compensated by the amazing growth on the wholesale side with plus 72,000 lines generated, bringing our Wholesale business to over 700,000 lines year-to-date. So overall, very satisfied with the development in Italy and the strong performance of Fastweb in this competitive market. On the left-hand side, you see Swisscom Switzerland. We still had a slight growth on the mobile side, postpaid but substantially lower than 1 year ahead. And this is something that we are currently looking into as well to continue or to work on this for the coming quarters to make sure that we have increased net adds going forward. The broadband and TV sectors are slightly declining in line with the market. So we had 15,000 net loss on the broadband side and TV with minus 11,000. And the fixed voice with the 23,000 [ph], slightly lower than last year, partly compensated by growth in wholesale. You can see that we have an accelerating growth on the wholesale side which is very positive; also, I think, linked to the ongoing fiber rollout. But on overall, it's, I would say, a mixed performance, mainly due to the B2C side of the market. Now moving forward to the next slide on Slide 6, you can see the overall financial results. Revenue was at CHF2.7 billion which was slightly down on a year-on-year basis. If you look at it, net of Euro-Swiss exchange rates, the decline was 0.5%, so roughly a flattish development on revenue. A stable EBITDA with CHF1.15 billion and net income up 2.9% at CHF455 million. And Eugen will go into more details on the financial numbers later in his update. So now I will move on to the business update of Switzerland and Italy. I will directly go to Slide number 8. As you know, we have communicated last year our new group strategy which applies to Switzerland and Italy which relies on 4 pillars. We continue to execute along these 4 pillars. The most important one on the customer side being, obviously, it's delight customers and continuously invest in our best networks, make sure that our wireline and mobile network, both in Italy and in Switzerland, perform as expected to customer expectation and continuously also launch new innovative products to try to generate new revenue for the future. And this has been materialized in Q1 by the launch of energy in Fastweb and InsurTech in Switzerland. We also continue to execute internally to improve the performance overall internally and achieve more with less, continuously digitizing, automating and adding AI to our operations. And we're, I think, making good progress on this side and have achieved CHF8 million cost savings in Q1 2024 on the telco side. Now moving to Slide number 9, a brief overview of the B2C business. So we have again worked or continue to work on our value focus in Switzerland. We have strengthened our blue offerings again. We invested more in our branding and executed a lower degree of promotions to focus really on the value side of the market and continue to invest in our customer experience, really demonstrated also again by a test win of the best mobile hotline service by Connect Test and the launch of new sort of mix of physical and digital experiences in store. So we have a new store concept with pop-up stores but also self-service cabins and terminals in shops where people can get the remote support for specific items to make the best use of the shop space and the people working in the shop work essentially at the hotline. Overall, financially, you can see the results on the right-hand side. I think the team did an amazing job on the value side, on the ARPU side. So you can see the ARPU wireline is stable at CHF89. And the ARPU on mobile is slightly declined to CHF49, mainly due to the brand shift. So ARPUs per individual brands are also stable in a market which is actually declining. So I think this is a very good result that the team has achieved. And then the brand shift obviously continues to sort of overall decrease the average ARPU on the mobile side. So you can see RGU base has grown year-on-year, Q1 '23 to '24, by 84,000 and the second brand share has also slightly increased to 32%. The fixed mobile convergence is roughly stable. Overall, if you look at it, mobile and broadband, I would say the slight changes in the conversions mix. But overall, I would say it's stable. As well as on the churn side, we have still continued to have low churn numbers, actually slightly improved churn numbers, showing that the customer base that is with Swisscom is happy with Swisscom and also remains with us for many, many years. Now moving to Page number 10, you can see more sort of the innovation side or new products that we launched. So we continue to strengthen our football proposition and launched some new aspects on the football side, also improving working on the quality of the football streams. But probably the most important or notable change in Q1 was the launch of our new insurance offering where we are reselling insurance products of insurance companies. So we have no ambition to become an insurance company. We will remain a tech company but we are using our distribution strength to actually create a new service around sort of an ecosystem for consumers which is based on digital services and hoping to strengthen our proposition in the market. So far, we are happy with the launch of this new product. I think it also has some innovative features selling it on a month -- selling insurance on a monthly basis, making the user experience in a digital space much easier for consumers. And we will see how this develops over the next years for the Swiss business. Now moving over to B2B on Page 11. We launched the Enterprise Mobile portfolio which was an important milestone for our SME business because we had sort of an aging mobile portfolio for our SME customers. And now we have, after the full launch, we have again an adjusted and competitive portfolio in the market for our SME customers which is, I think, an important milestone in our strategy execution. We also continue to strengthen our positioning on the IT side. We launched a new IT offering for the SMEs which is an integrated workplace solution for IT network, Internet and telephony. And so far, we are very happy with the launch in the past 4 months and the numbers are actually very -- or quite promising. And we also managed to make a small acquisition of a company called Camptocamp. They are specialists in geospatial information system which we believe will be an important aspect for the future in the coming years. Especially on the government side, there are quite a lot of projects upcoming which require spatial capabilities combined with IT skills. So on the right-hand side, you can see the service evolution. So telco service revenue slightly declined by 3.3% to CHF387 million [ph] in the first quarter; this was mainly driven by price decreases. You can see it on the ARPU, the ARPU line in the middle, where ARPUs continue to decline by CHF2 to CHF26 average wireless ARPU. Actually, on the number of RGUs, the B2B business is stable. And on the contrary to the telecom revenue, you see that the IT revenue continues to grow. It's up by 4.9% year-on-year to CHF297 million, compensating a big part of the revenue decline on the telco side which is a very pleasing result. Now moving to networks on Slide 12. We continue to enhance our network leadership in Switzerland. We continue to invest heavily both in wireline and on mobile. We have, again, won the CHIP network test on the mobile side. We are very happy about this. I think it really demonstrates our leadership on the mobile side. You can see the results on the right-hand side. The download speeds measured by CHIP for Swisscom was nearly double of the second best which I think has never happened before and demonstrates the lead we have in the network quality in Switzerland. And together with Ericsson, where we renewed our partnership for the next 3 years, we will continue to drive the improvement of the network going forward but with also a very high focus on more energy-efficient and more cost-efficient operations using AI and automation. On the wireline side, the COMCO released their final decision in the ongoing investigation. We expect -- or there will be no impact on our financials regarding to this decision, as we communicated previously. Swisscom already changed the rollout mechanism to point-to-point because we anticipated a very tough ruling from the COMCO and also the fine is already reflected in our financial results and it generates no impact this year. We managed to -- and so we continue to build out new FTTH connectivity. If you compare it to Q1 2023, we managed to add 4 percentage points coverage, up to now 47% of the country covered and we still plan to go over the 50% of coverage by the end of this year, building out more than half of Switzerland or covering more than half of Switzerland with FTTH connectivity. Also on the 5G+ side, we managed to increase connectivity up to 82%. And we also feel comfortable with our '25 target to cover 90% of Switzerland with the new 5G frequencies. Okay. Now moving to Page number 13. Obviously, the revenue -- so I talked a lot about the revenues and new products but the cost is also an important topic, as you know, in the telecom sector. So we continue to be very focused on achieving telco cost savings to balance out the service revenue erosion. In Q1, we realized CHF8 million telco cost savings which is slightly lower than the linear amount per hour target of CHF50 million plus this year. This is mainly due to seasonality in cost distribution and we still confirm our full year cost target of at least CHF50 million this year. And I think what is very encouraging is the numbers you've seen on the right-hand side. We are -- one important lever of reducing cost savings is obviously investing in automation, in more digital support, more self-service for customers built on AI and chatbots, for example. And you can actually see in the numbers that it is possible to simultaneously improve customer satisfaction and reduce cost which I think is a very important achievement. So you can see that we invested a lot in shops and call center. NPS is roughly stable but we managed to increase NPS in the digital space while, at the same time, reducing the contact center workload by 11%. And I think that's quite an outstanding achievement, reducing workload by 11% year-on-year and with the adequate cost savings coming in now over the year. Also on the shop side, I already mentioned that we are experimenting with new store types to make, let's say, the cost per sales more effective. We are using sort of pop-up store concepts in shopping centers. We are working with new in-shop like remote support or these cabins where people can get support in the shops and many more things to come to make the sales force -- or the cost to drive down cost per sales and keep customer satisfaction high internally. Internally, we are also continually working on our cost base. So we are continuing our near-shoring activities in the call center. Now we're doing first trials in Poland and Bulgaria which produced very positive results. And we also continue, obviously, our life-cycle management and automation activities on the network side to bring down the cost of networks in the future. Now I will move on to Italy. We'll start with the B2C side, telco at Fastweb. So in -- also in Italy, we have launched many new offerings in the past month. I think the most important one is that we launched a new innovative, AI-driven churn prevention internally that we are using to detect and prevent the churn in our customer base. And we launched also a new mobile offering together with Sky, leveraging the Sky customer base. This is called Sky Mobile powered by Fastweb and we are very pleased so far by the start in the last 2 months. We actually have quite encouraging results from this partnership. Also, we launched our new energy offering which is also like the insurance offering in Switzerland. It's a pure reselling offering. So we have 3 energy partners, Ecotrade, AGSM and Axpo which are providing the energy and managing the energy risk. So Fastweb is not assuming any energy market risk on this topic but it's purely a distribution channel. And we intend to, obviously, on the one side, generate incremental revenue in our customer base but also further reduce the churn by a more converged or more complete customer base and really also, as in Switzerland, develop sort of a domestic ecosystem tailored to households, providing digital services to households. On the customer base, you can see that the mobile customer base has grown 12% year-on-year to 3.6 million subs on the mobile side. Broadband continues to slightly decline because of our focus on value over volume and this also drives up the broadband share slightly by 0.1%. But overall, I think we can say the broadband base, including wholesale, is actually growing. And the wholesale piece is, by large, overcompensating the losses we have on the B2C side. Now moving to Slide 15, B2B and wholesale. So B2B, again, performed very well in the first quarter. This was ahead of our expectations. I think at the annual results, we told you, don't expect another strong quarter in B2B. Luckily, I mean, the guys have over-performed the budget and the expectations, so they delivered CHF284 million revenues this quarter which is up 9% on a year-on-year basis. I think quite an impressive evolution on the B2B side. And also, we launched a couple of new products in the cybersecurity side called DefenderAI and a new private cloud offering called FASTedge that will help us to continue to drive revenues in the future. On the wholesale side, we managed to grow in line with our customers. So basically, this is Enel, Iliad and Wind Tre which generated 222,000 new connections on a year-to-year basis or up 45% in number of lines to 720,000. So this is a very pleasing result, I think a very strong performance of the team and driving up revenues in wholesale by 18%. So Fastweb has always invested in initiatives contributing to the development of FTTH in Italy. And so -- but with regard to the Wholesale business which is very important, I think we are closely observing also what is going on with the NetCo carve-out at Telecom Italia. And I think we have, so far, supported the idea of creating a vehicle to accelerate the fiber deployment. But nevertheless, by expanding the NetCo role as a wholesale provider and establishing an exclusive and long-term relationship with TIM ServCo, the NetCo transaction will change the structure of the market and may jeopardize the existing level of competition in the wholesale market and the retail market. And that's also why we have expressed specific concerns to the European Commission and we hope that it will adopt adequate measures to preserve the existing level of competition to ensure the capability of alternative players like Fastweb to keep operating in the wholesale market and continue to be successful to help the other players be competitive in the telco market as well. Okay. Now I will move to the transaction update, Vodafone Italy. So we will go directly to Slide 17. Just a quick reminder of what the transaction is about. We are acquiring 100% of Vodafone Italia at a valuation of €8 billion enterprise value and we expect the closing in Q1 2025. This transaction will create a leading converged challenger in Italy, able to compete effectively based on improved scale, conversions and infrastructure. And we strongly believe this will create very clear benefits for all customers in Italy and the country itself. The merger will generate tangible sale -- sorry, tangible synergies with a run rate of €600 million per year. And we also announced that we will increase our dividend distribution to CHF26 in 2026. So far, the deal is going exactly as planned according to the time line. Post announcement, Standard & Poor's and Moody's confirmed our A rating even post transaction. And we have successfully completed the credit lines increase and the loans indication for the deal. And we have also started to submit the pre-notifications to the various regulatory bodies and the regulatory process is initialized and ongoing. Okay. So now I will hand over to Eugen for the financial results.
Eugen Stermetz: Thank you, Christoph. Good morning, everybody, from my side. I'll walk you through the numbers. As usual, I'll start on Page 19. We have rearranged slightly the slide deck, as you might have noticed, in order to provide a bit more transparency also on Fastweb and in order to align the reporting between Switzerland and Italy and in anticipation of, obviously, a bigger Italian business in the future. So we hope this is helpful for you. I'll start out on Page 19 and 20 with an overview over the group financials and then dive into Switzerland and Italy as usual. So Page 19, revenue in the group down CHF44 million but we had a negative currency effect due to the euro compared to previous year of minus CHF31 million. So underlying revenue was down CHF13 million, very different dynamics in Switzerland and in Italy. On the Swiss side, revenue was down CHF52 million. I'll get to the reasons for that later. And Fastweb was up plus CHF35 million which is obviously a very positive result. EBITDA reported, basically flat, minus CHF9 million but we had a couple of smaller exceptional items, in particular, in connection with the release of provisions from regulatory litigation but also transaction costs in connection with the Vodafone transaction, etcetera and some currency effects. So the underlying number is really minus CHF18 million on the EBITDA. Switzerland down minus CHF19 million, Fastweb up plus CHF4 million. Details will come later. I'll move on to Page 20. CapEx for the group was up CHF49 million. It's entirely driven by higher CapEx in Switzerland which is mainly due to the FTTH rollout being in full swing. And operating free cash flow came in at CHF489 million. That's minus CHF57 million, obviously, as a result of the somewhat lower EBITDA and higher CapEx in the first quarter. So far, for a very quick overview, I'll now dive into the Swiss side on Page 21 and I'll start with revenue. Revenue down minus CHF52 million. If you split it into the individual segments, it's all down to basically B2C with revenues down minus CHF59 million. The major effect are lower hardware revenues. So we sold a lower number of smartphones in the first quarter compared to prior year which subtracted CHF32 million from our revenue. Second biggest effect, telco service revenue, minus CHF17 million. And B2C, I'll obviously talk about that in a second and some other revenue items, mainly IFRS balances of minus CHF10 million. So that's the B2C side. On the B2B side, basically, revenue is flat, plus CHF4 million, combination of lower telco service revenue, minus CHF13 million and higher IT service revenue of plus CHF14 million, part of which was nonorganic due to the Axept acquisition last year and also, to a minor extent, due to the Camptocamp acquisition this year. So that's on -- wholesale was basically flat. That's on revenue. On EBITDA, reported EBITDA in Switzerland is flat but we have a couple of exceptionals, as I mentioned already. So underlying EBITDA is down minus CHF19 million. If we go through the individual segments, B2C, down just CHF6 million despite the minus CHF59 million in revenue. That's obviously the balance between telco service revenue. And cost savings, we had quite significant cost savings in the B2C segment in the first quarter which is very good. The whole decrease in hardware revenues obviously has very little to no margin impact. So the B2C result is actually quite good. B2B, EBITDA minus CHF17 million. It's a bit the other way around, despite stable revenues or even increasing revenues, a lower EBITDA. That's a mix of high-margin telco service revenues dropping out of the P&L and the IT service revenues that are coming in have a lower margin. And also it's a bit of a volatile business, so the profitability in this quarter compared to the first quarter in the previous year was a bit weaker. So that gave us the minus CHF17 million in B2B EBITDA. Finally, wholesale EBITDA was up by CHF8 million. It's mostly driven by a decrease in roaming. Outbound price is also a bit of a volatile item, as you know. So I move on to Page 22 to typically deep dive into the Swiss business and the Swiss P&L by line item. I'll start, as usual, with service revenue. It's on the top left. And on the bottom part, you'd see all the details over time and the individual drivers as we also present them previously. So I'll start with the service revenue. Service revenue was down CHF30 million, split into minus CHF17 million on the B2C side and minus €13 million on the B2B side. B2B is pretty much as you would have expected it. B2C, minus CHF17 million, looks a bit low compared to our previous quarter. So let me briefly explain. Number one, CHF4 million out of the CHF17 million are due to the VAT increase that we did not pass on to our customers. So this is a fact. It doesn't change the number but it's important. This is a one step-change that will accompany us through this year but it's not an underlying long-term -- change in underlying long-term trends. So the CHF4 million VAT impact, split into about CHF2 million each for wireless and wireline. So if you look at the underlying drivers of B2C service revenue which we always split in wireless, wireline and RGU and ARPU, if you look at the wireless side and factor out the CHF2 million of VAT, the wireless side is pretty much what it was in the previous quarters. So the main change really compared to the previous quarter is due to the wireline side where we, in the first quarter of this year, we have a minus CHF4 million impact on service revenue. From the ARPU side, if you remember, the previous quarters in 2023, every quarter, we had a positive number here. So we managed to increase ARPU on the wireline side due to a number of small but significant, in totality, significant measures. We also have a whole list of measures lined up this year, the main effect of which, however, will impact the service revenue progressively in the subsequent quarters, so quarter 2 to quarter 4. So we didn't have much of a positive impact out of these in the first quarter. Obviously, outlook unchanged. We stick to our guidance that we gave a couple of months ago on service revenue which was a similar evolution as in 2023. To remind you, 2023 was minus CHF72 million. But with CHF20 million on top out of the VAT impact, so that guidance is unchanged. On the further items in the P&L, I'll not comment at length. Just on indirect costs, plus CHF8 million, as Christoph mentioned, indirect telco cost savings in the first quarter, a bit lower than the typical run rate. And the expected run rate, it's all down to seasonality and we confirm our guidance to have a CHF50 million plus net savings this year. I'll move on to Page 23. Quickly CapEx, CapEx was up CHF51 million in Switzerland, down to 2 factors. Number one, we spent more on the wireless network in Q1 in some multiyear licenses that we acquired in Q1 but no change whatsoever to underlying trends. That's just seasonality. The more important change and more positive change is actually the pickup in the CapEx for the wireline access network. We did not invest as much in Q1 2023 because, as you remember, we had to engineer the whole change from the point-to-multipoint network to the point architecture. So last year, we were actually below our guided envelope for the fiber rollout of CHF550 million. Now the rollout is finally in full swing which is very good. So we have higher CapEx than last year. Obviously, all of this is fully consistent with the guidance for the full year we gave in February. And finally, operating free cash flow, down CHF54 million which is obvious given the higher CapEx in the first quarter. Page 24, Fastweb. So that's the new part where we provide a bit more clarity, I hope, or transparency compared to our previous communication. I'll start with revenue. Revenue, as Christoph mentioned, is up €35 million in the first quarter, plus 5.6%. That's an excellent growth rate. If you look at the individual business segments, B2C was flat, with wireline revenues down and wireless revenues making up for the difference. B2B, strong growth in the first quarter, mainly driven by IT services revenues, pretty low margin, as you can see from the EBITDA graph below. And more importantly, wholesale revenues were up 17.8% or €13 million in absolute numbers which is driven by the additional UBB lines with Enel and some of our other wholesale customers. That's obviously a very good result. On the EBITDA side, plus €4 million or plus 2.1%, exactly in line with our guidance. The main driver of the EBITDA increase was the Wholesale business which obviously, except for the out payments, has very incremental revenue, comes with very little incremental cost. It's a solid margin business. So the plus €4 million in overall EBITDA growth were mainly driven by the Wholesale business. On B2C, minus €3 million. Very simply put, the revenue we lose on the wireline side is obviously much higher margin than the revenue we gained on the wireless side which is one of the main drivers for the acquisition of Vodafone Italy to get our own infrastructure. So this is all very much as expected. I move on to Page 25. CapEx in Italy, €157 million, virtually unchanged compared to the previous year. It's the first time we give a CapEx split for Fastweb. So please refer to the page in the appendix where we explain what goes into the different categories. But as we communicated previously, a lot of the CapEx at Fastweb is customer-driven, CPs, etcetera. And so it typically moves together with revenue and tends to be a rather fixed percentage of revenues over time with little scale effects. Operating free cash flow was flat compared to previous year, €22 million. The first quarter is always quite weak in operating free cash flow. It's simply the result of the EBITDA and CapEx numbers that I discussed. Now I'll move back up to the group for the free cash flow bridge and the net income bridge. Free cash flow at CHF198 million, basically flat despite the lower operating free cash flow which was over CHF57 million. What are the reasons? A slightly better net working capital development. Net working capital is always negative in the first quarter but it was better this year than previous year. And on taxes, we had a different timing of income tax payments and a one-off income tax payment last year. So they had made up for the difference. And so we ended up with just minus CHF11 million on group free cash flow. Page 27, group net income. Net income at CHF455 million is CHF13 million up despite the slightly lower EBITDA which was CHF9 million down. The main difference is -- or actually, the only difference is the financial result which was a bit better than last year. A part of the release of the provisions that I mentioned that the EBITDA ended up in exceptionals sit actually in the financial result and show up as a positive effect here. So net income was up CHF13 million. And finally, Page 28, we confirm the guidance for revenue, EBITDA, CapEx and, obviously, also the dividend. And with that, I hand back to the operator.
Operator: Thank you, Eugen. [Operator Instructions] And please introduce yourself by name, and company, before asking your question. First question.
Polo Tang: It's Polo Tang from UBS. I just have 3 quick questions. The first question is on Swiss service revenues. So you saw a notable step-down in Q1 to minus CHF30 million from CHF16 million in the prior quarter. But could you just maybe talk about how we should think about the trajectory from here? So is minus CHF30 million a quarter the new normal? Or can you maybe explain why there might be reasons in terms of what might be driving an improvement in Swiss service revenues in the coming quarters? Second question is just on Swiss competitive dynamics. So can you maybe just talk through what you're seeing in the market? And can you specifically talk about promotional activity? And if you are losing subscribers, who is gaining? And my third question is really just about Swiss cost savings and Swiss EBITDA. So your cost savings were only CHF8 million in Q1. But can you maybe just talk about the phasing of the savings through the year? And what does this mean in terms of phasing of Swiss EBITDA growth in the coming quarters? So should we expect Q2, Q3 EBITDA, Swiss EBITDA to be stable but the Q4 to be down just given the dropping out of the one-off gain?
Christoph Aeschlimann: Okay. So I can -- Polo, thanks for your questions. I'll maybe answer the first 2. So Swiss service revenues of minus CHF30 million is not the new normal. I think the B2B side is very much in line with what we guided for the full year. So we had minus CHF13 million in Q1 and we expect minus CHF50 million roughly for the full year. So I think that's going as expected. And on the B2C side, we had a slightly weaker quarter in Q1. But as Eugen already pointed out, we have implemented several measures now going forward. So we are working on some of the fees. We are working on -- continue to work on product phaseout. We are working on some of the pricing of the options. Some of it has already been announced and there have been quite a lot of press articles about it in the Swiss press and some of the measures are still to come in the next weeks. So we do expect this to improve the B2C service revenue evolution. So for the full year, I think we guided early in February, we guided for like a total minus CHF70 million plus the CHF20 million VAT impact. So I think you can expect it to be somewhere around the CHF70 million to CHF90 million, CHF100 million which is probably on a full year basis which is probably in the right ballpark. Now on the Swiss competitive dynamics, so I would say the dynamics are pretty much unchanged, still very aggressive offers from Salt in the market with a lifetime minus 70%. A lot of simultaneous promotions ongoing. I think this puts all the players under pressure. And we don't see this changing sort of anytime soon. And so we also -- we don't have an intention to increase promotional intensity from the Swisscom side. We -- I think we will continue with the level we have now. But we also intend to -- as part of the measures to sort of change a bit maybe the way we push sales internally, the way we communicate the promotions, I think we can do a slightly better job on that side to make the promotions more appealing but without actually changing prices of the promotions which I think is not the right way to go as we continue to focus on value.
Eugen Stermetz: Okay. Polo, I'll cover question number three. As I mentioned, yes, the CHF8 million look quite low compared to an average linear number you would derive from our full year target. But as I explained, that's pure seasonality. So we expect cost savings to be higher in quarters 2 to quarter 4 and then they're up at our guidance; so that's for that. I'm not going to -- or I'm a bit cautious to venture into forecasting Swiss EBITDA for the coming quarters because there are also exceptional items last year and this year, etcetera. But on the specific item of cost savings, you should stick to the guidance we gave at the start of the year which is CHF50 million plus net savings.
Operator: Next question.
Steve Malcolm: It's Steve from Redburn at London. I got 2 questions. First on Italy and then a second just on, I think, Switzerland but you can maybe clarify. And thanks, Eugen, for the extra disclosure on Italy. The problem is you give us more, we want more. I'm just curious on the sort of apparent 60% gross margin drop-through in wholesale sort of unit revenue and native cost. I mean it's kind of -- that's slightly above of what I would assume your margin is on selling -- reselling open fiber and more flat fiber lines. So can you maybe help us understand how you get to that and maybe what the price of the lines you're selling is and what the payer is or any sort of color at all on that sort of under -- that implies 60% gross margin drop-through? And then just on capitalized self-construction costs, I think they were up about CHF15 million in the quarter. Does that largely drop into Switzerland given your higher CapEx? And when we think about the rest of the year, should we expect a kind of similar increase as you step up your fiber spend, that sort of CHF15 million quarterly run rate? That would be very helpful.
Christoph Aeschlimann: Sure. So first, on the wholesale margin in Italy, as you say, we give more information, you want even more but that's fair enough. We show incremental revenue in wholesale and incremental EBITDA. On the Fastweb side, obviously, it's always a bit dangerous to derive from incrementals and estimates for the margin of the whole business because there is an existing business and then there is an incremental business and there are changes in the existing business as well. However, I'll go as far as to say the about 50% or 60% margin that you derive from the incremental wholesale revenue is a bit on the high side if you look at the whole UBB business because there is -- in the incremental business, you also have one-off items once you activate the lines. And so they grow basically with the incremental revenue and the stable existing revenue doesn't have these one-off revenue items. So also, if you look at the wholesale prices in Italy, I think Telecom Italia publishes smaller prices, etcetera. You can imagine that it would be very hard to make a 60% margin on top because also we buy typically the passive service and on sale the active service. So long story short, it's lower than the 60% but it's still a healthy margin. And obviously, growth in UBB revenues comes with increased EBITDA. On the second question, capitalized expense, yes, a large part of the CHF15 million, although not everything, is on the Swiss side and almost all of it is in our infrastructure division. As explained previously, that's basically CapEx that moves from external software development CapEx into internal CapEx. I can't -- unfortunately, I can't give you an exact guidance of where this number will be in Q2, 3 and 4 simply also for the reason because we don't know at that level of detail because CapEx also has some fluctuations over the quarter. So sorry, I can't give you a full answer on this one. But yes, it's related to the typically softer development CapEx. And yes, it's on the Swiss side.
Operator: Next question.
Andrew Lee: It's Andrew Lee from Goldman Sachs here. I just had a follow-up question to one of Polo's questions earlier, just on the competitive environment in Switzerland and specifically on fixed broadband. You mentioned the ongoing competitive aggression from Salt. I would just note that Sunrise's net adds inflected positively this quarter and the company is saying that's partly due to their customer loyalty initiatives. I wonder if you've seen any impact on your business from Sunrise's efforts there or any change from that side of things.
Christoph Aeschlimann: So I didn't have a chance yet to look at the Sunrise results and I think I don't want to comment on what they are doing. But obviously, in the aggressiveness of Salt, what we perceive is that also Sunrise is following the same level of aggressiveness with their second brand, yallo [ph]. And my assumption would be that a lot of the net adds are driven by this promotional activity. And we decided for us that we clearly want to focus on value. And you can also see that the churn numbers we have are actually decreasing on the broadband side. So the issue is not really with the existing customer base. I think we have a very healthy and happy customer base. But it's more about sort of the new entrants in the market actually attracting enough net adds from the market growth which now goes essentially to Salt and Sunrise. And this is, I think, a topic we need to work on. And as I mentioned, for example, we focused very much on branding in the past quarters. And if you walk into a shop now, it's nearly -- you don't -- let's say, the promotion is not completely in your face. It's more about brand experience. And I think on this side, we need to change some of the aspects to make promotions also that we have without making them more aggressive but we need to make them more visible and increase of the sales orientation of the employees to a more -- in a different way to balance out sort of the brand approach versus the sales approach. And this is one of the measures we have put in place now as well.
Operator: Next question.
Georgios Ierodiaconou: It's George Ierodiaconou from Citi. The first one is...
Christoph Aeschlimann: Sorry, we can't understand you. I'm very sorry, it's acoustics. We hear you speaking but we don't understand a word. I'm sorry.
Operator: Georgios, do you have any chance to speak a little louder? Okay, he was dropped, his line. So next question, please.
Titus Krahn: It's Titus Krahn here from Bank of America. I just had 1 or 2 quick questions on the Swiss fiber rollout and the recent decision by COMCO. Just trying to reconcile some of the numbers. And if I may, so first of all, could you confirm that the kind of change in infrastructure of the existing line has to be done by the end of 2025? And how big is your confidence to actually achieve that given that, I think, quite a significant share of your lines are still on old technology? And then secondly, maybe on how that fits into your fiber CapEx budget. Doing my own little kind of back-of-the-envelope calculation on how much this refurbishment costs, I think I get to like nearly CHF400 million over 2 years and that leaves only, I think, CHF600 million to CHF700 million maybe for actual new rollout. How can you reach 57% or so by the end of 2025 when we kind of have these numbers in mind? Or -- and maybe I'm totally wrong on one of those assumptions.
Christoph Aeschlimann: Right. Thanks, Titus. So there is -- you're right, there is a condition in the COMCO ruling that until end of 2025, the point-to-multipoint lines which have been activated need to be changed to point-to-point. You continue to be in operation in '26 and going onward. But this condition only applies to the point-to-multipoint lines that have been activated before the investigation started. So it doesn't apply to all the multipoint lines built which are currently blocked. So we still have about 450,000 lines which are multipointed or blocked but about 100,000 which have been activated that need to be changed until 2025. So in our plan, we plan to upgrade all those activated lines until the end of 2025 to continue to operate them. It's included in our CapEx guidance for this year. So all the work that we are doing for the refurbishment is included in the CHF500 million to CHF600 million CapEx guidance. And also with regards to the target of reaching 57% build-out, this also -- so we confirm this target. We are confident that we can reach it, also within our CapEx guidance. So I think we can say that your refurbishment cost calculation you made, I think it's way too high. And that's also why you can't reconcile the 57% with the CapEx envelope. But I think we don't publicly communicate on the refurbishment cost individually. But what we can say is that the refurbishment required plus the rollout target of 57% fits into the CapEx guidance of CHF500 million to CHF600 million per year.
Eugen Stermetz: Yes. Maybe just to add, we gave a very rough back-of-the-envelope calculation previously which I'm happy to share. And this is super rough because, obviously, conditions also change over time depending on where you are in the rollout. But it's about 250,000 units times 2,000 which is CHF500 million. And then there is an added CHF50 million or so for, let's say, CHF500 times 100,000, how did we call them, refurbishment or retrofitting lines. And so that's how you end up with the CHF550 million. So that's a very rough back of the envelope. But I think in your model, the number that was too high was obviously the number of our retrofittings because, as Christoph explained, most of them are not active and we can do this over time and over the years.
Titus Krahn: Yes, that's true. That's the -- yes, retrofitted lines were quite off. It's super helpful, very helpful.
Operator: Next question.
Luigi Minerva: It's Luigi Minerva from HSBC. I have 2 on Italy. I guess if we look at the Vodafone Italy acquisition, it is very -- it can be very attractive on free cash flow accretion on a 3-years basis and, therefore, supports dividend growth. And I think this is all very positive. Where we hear investors' concerns is on the Panchi [ph] synergies guidance. And therefore, the attention is really on your ability to execute well the integration. So I know it's quite early but I was wondering if you can give us some reassurance, what are the critical points that you see when you think about integration of Vodafone Italy? And how can you reassure us that you are well prepared to execute well? And secondly, on your comments about the European Commission review on the NetCo deal. Perhaps if you can elaborate a bit more, what kind of concerns you expressed when it comes to the impact on competition? And whether in your experience, you think the DigComp will do the review as a Phase 1 or whether it will require a Phase 2 investigation.
Christoph Aeschlimann: Okay. So on the Vodafone transaction, so as you highlighted, I think it's very attractive from a free cash flow growth. And obviously, the free cash flow growth is mainly driven by the synergy realization. So this obviously is I think -- understandably, the main concern of investors, can this be realized. But I think all I can say about it is that we are confident that we will realize the announced synergy run rate of €600 million. A big chunk of it is related to the mobile COGS which basically entails moving the Fastweb SIMs which are currently running on Telecom Italia and Wind Tre networks onto the Vodafone network. So this is a piece of synergy realization which has, let's say, limited execution risk and can be also realized rather at the front end of the integration. And then there are other synergy buckets more linked to carve-out of group services from Vodafone, IT realization or other sort of typical synergies from mergers that need more time and have a bit more or higher execution risk. But I think we are working very intensively already now on the synergy implementation plans to be prepared that we can really kick off on day 1 after closing. And I think so far, everything goes according to expectations and we are confident that we can deliver them. Now on the EU Commission side, I think what is important to us is that we have a healthy Wholesale business and we believe that it also delivers a lot of benefits to the other market participants in the market, as you can see, with the growth of Enel, Sky, Telecom Italia but also Wind Tre and Iliad. And now the new NetCo, obviously, also will start to provide a full range of services rather than just access to dark fiber. So the NetCo might have an incentive to reduce the ability or reduce competition in the market and then reduce the ability of Fastweb to compete effectively in this market. So for us, what is really important is that the NetCo provides a full range of passive services at the right economic conditions or the right pricing that guarantees the capability of other players to operate effectively in the wholesale market.
Luigi Minerva: And your guess whether it's going to be a Phase 1 or Phase 2?
Christoph Aeschlimann: Yes. So I think Phase 2 is quite unlikely, honestly. We -- but I mean I'm not an antitrust expert. But from what I'm told, everybody is expecting Phase 1. But even in Phase 1, the EU Commission can impose already certain remedies or sort of sets of conditions that need to be observed. So this is what we are currently focusing on.
Operator: Next question.
Joshua Mills: It's Joshua Mills here from BNP Paribas Exane. I have 2 questions, please. The first one is just going back to the guidance of improving trends in Switzerland during the course of this year. So you talked about using fees as a way of driving that revenue growth. Can you just clarify whether that's increase in fees on new customers or whether there'll be any kind of increase to fees on existing ones as well, especially if it's ruled out [indiscernible] next year? In either way, should it be fair to expect that if you're going to increase fees and do a bit more on that side, we might expect to see slightly weaker churn [ph] through the course of 2024 but with the hope that service revenue [indiscernible] trying to think about the balance between those 2? And then the second question, if I look at Slide 13, where you've highlighted the improvement in NPS in the digital sales channel, I'd be interested to hear what you did in factual terms between Q4 last year and Q1 this year. So if you look back, initially, the digital channels have weaker NPS but has now improved quite a bit. So any learnings or takeaways there as to how you improved from this would be appreciated.
Christoph Aeschlimann: Thank you. You were not -- I mean I had some trouble acoustically understanding your questions. I'm not sure if I entirely understood it. I understood there was about price increases from existing customers versus new customers. So the price increases that we are currently executing touch both new customers and existing customers. So some of them are not communicated yet, so I don't want to go into the details but we are working not only on the front book but also on the back book, mainly not on the, let's say, the base subscriptions. Those remain stable but selectively on fees and options in the TV space or other options that we are selling that we are currently changing or simplifying as well and this results in price changes both for new customers and existing customers. Now on the digital channel, so NPS went slightly down in the digital channel, then up again. I think this is -- and what -- so we are constantly, I would say, working on the digital channel, experimenting with new elements like chatbots or moving service requests from an assistant channel to a self-care channel. And some of these, let's say, changes, sometimes they don't work immediately as intended. That might impact NPS on a short-term basis but then we obviously do a lot of measurements on these changes and then adapt again what is not working and then change it again until we find a way to make it work in the sense that the customer is happy. It also has a lot to do with process flows or customer user experience flows with a lot of A/B testing. And I think now we managed to find a couple of ways of making it nicer for the customer and this also resulted now in this uptick in NPS in the digital channel.
Joshua Mills: Sorry about the connection. And hopefully, you can hear me a bit better now.
Christoph Aeschlimann: It's perfect.
Joshua Mills: So it sounds like you are going to be doing back-book price increases on some of the tariffs during the course of 2024. Is that the right read of what you've just said, right?
Christoph Aeschlimann: That's correct but mostly on options and add-ons and not on the, let's say, the blue main subscription. And let me...
Joshua Mills: Got it. And sorry, the second -- yes, go ahead.
Eugen Stermetz: Simple example. So we are -- we have a lot of customers who actually go to the shops to, believe it or not, to pay their bill in cash. And we ask for a fee for them to do this because, obviously, this creates a lot of work in the shops. And one of the measures, just an example, is to increase the fee for this type of activity. And so it does touch the customer -- existing customer base but it does not touch the high visibility price points of the subscriptions, for example.
Joshua Mills: Got it. And sorry, the second part of my first question wasn't clear but should we then expect maybe to see slightly weaker net add trends continue through 2024 with the focus being on improving the service revenue trends? Or do you have any initiatives which you think can drive better net add growth as well during the course of this year?
Christoph Aeschlimann: So I think we will work on both at simultaneously improving net adds and continue to work on ARPU and value. I would say, in terms of priority orders, we focus first on service revenue and value and only the second line on net adds.
Operator: Last question.
Usman Ghazi: It's Usman Ghazi from Berenberg. I have a few follow-ups, please. The first one was just on what you mentioned that to improve your gross adds momentum in Switzerland, you're going to try and make the promotions more visible with marketing and also incentivize the sales force to push these promotions. I mean that makes sense but isn't that just going to mean that your net add trends might improve because you get a better gross add share but the ARPU impact is going to be weaker because these promotions are then actually taken up, whereas right now, they're not visible, net-net, I guess the service revenue impact is the same, right? So that was the first question. The second question was just going to the consumer wireline ARPU again. I think it's the first time that you've disclosed a mix effect in the ARPU. And I just wanted to make sure that is this kind of a new trend trending in Q1? Or did you have a mix effect also last year but it was just mitigated by the pricing measures that you took? And my final question was just on the B2B net adds. Obviously, they've been very strong in the wireless segment in Q1. I think you did 70,000 adds. Is this all organic? And if so, can you give some comments on what has given this significant improvement?
Christoph Aeschlimann: Usman, can you maybe just repeat the third question? We had some trouble hearing...
Usman Ghazi: Wireless net additions in the B2B segment have been very strong in Q1. I think it was 70,000 by my calculations. I know you've said that you revamped the SME proposition. But I just wanted to double check if that was all driven by this revamp or is there something else in the numbers?
Eugen Stermetz: Okay. Maybe starting from 3 to 2 to 1. On 3, we need to check the numbers. I'm not sure we are talking about the same number and please get in touch with Louis on this one. Otherwise, we are talking about the different numbers that might just confuse everybody. On 2 -- on question number two, I'm not entirely sure whether we showed the mix effect on ARPU wireline B2C. In the past, we might have done but I'm not sure but it certainly exists. So we do have sales, obviously, also on the wireline side for Wingo in particular, our second brand. It's not as pronounced as on the wireless side. As you know, the second and third brand segment, third brand share in the overall base is much lower on the wireline side. So the effect is not as pronounced as on the wireless side but it's still there. And yes, this time, we showed it. But it's not new. It's just new that we showed it, if we did not do it before. Okay, so that was question number two. And one, I think was, is there an additional revenue from additional net adds? And I would say, yes.
Christoph Aeschlimann: So clearly, I mean, the net adds are incremental revenue. So I mean when we look at the ARPU and the customer base, I mean it's -- the mobile market is still growing. So there are additional net adds in the market. So this will typically generate also on top revenues for -- and help supporting the service revenue of the B2C segment.
Usman Ghazi: Sorry, so just to clarify, just that question, the first one, it was more -- I mean I guess I was asking, if you make promotions more visible in the market, you might not be increasing the aggressiveness of the promotion. But if you make them more visible in the market, does it not have the same impact as making these promotions more visible, more aggressive? Because currently, part of the rationality in the market might be because the others are being aggressive and the Swisscom promotions aren't really visible in the market. But if you make them more visible and the others are being aggressive at the same time, it could -- does it not worsen the market?
Christoph Aeschlimann: Yes, maybe. I mean we will see. It is really hard to predict. So -- but I think the important message is that we don't intend to increase the aggressiveness which I think would be not producing the right effect. But I mean we don't know if this will change the market dynamics, and so we will see how this evolves over the coming quarters.
Louis Schmid: Thank you, everyone. And with that, I would like to conclude today's conference call. If you should have any further questions, please do not hesitate to contact us from the IR team. Thank you and have a nice day.
Christoph Aeschlimann: Thank you. Bye-bye. Thank you.